Operator: Good morning, ladies and gentlemen and welcome to the Beacon Roofing Supply's Fiscal Year 2015’s Fourth Quarter and Year End Conference Call. My name is West and I'll be your coordinator for the call today. At this time, all participants are in a listen-only mode. We will be conducting a question-and-answer session towards the end of this conference. At that time, I will give you instructions on how to ask a question. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. This call will contain forward-looking statements that fall within the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 regarding future events and the future financial performance of the Company, including the Company's financial outlook. Bear in mind that such statements are only predictions, and actual results may differ materially as a result of risk and uncertainties that pertain to our business. These risks are highlighted in our quarterly and annual SEC filings. The forward-looking statements contained in this call are based on information as of today, November 24, 2015, and except as required by law, the Company undertakes no obligation to update or revise any of these forward-looking statements. Finally, this call will contain references to certain non-GAAP measures. The reconciliation of these non-GAAP measures is set forth in today's press release. On this call, Beacon Roofing Supply may make forward-looking statements, including statements about its plans and objectives and future economic performance. Forward-looking statements are subject to a number of risks and uncertainties. Actual results may differ materially from those indicated by such forward-looking statements as a result of various important factors, including, but not limited to, those set forth in the Risk Factors section of the Company's latest Form 10-K. The Company has posted a summary and financial slide presentation on the Investors section of its Web site under Events & Presentations that will be referenced during management's review of the financial results. On the call today for Beacon Roofing Supply will be Mr. Paul Isabella, President and CEO; and Mr. Joe Nowicki, Executive Vice President and Chief Financial Officer. I would now like to turn the call over to Mr. Paul Isabella, President and CEO. Please proceed, Mr. Isabella.
Paul Isabella: Thank you. Good morning, and welcome to our 2015 fourth quarter and full year earnings call. As mentioned in our press release this morning, we had a very strong fourth quarter, delivering the highest sales and EPS in the quarter in our Company’s history. Our sales for the quarter were approximately $788 million, which represents total growth of 8.4% over the prior year. We delivered $0.75 of adjusted EPS for the quarter, which is 56% growth versus last year. Our team did an excellent job of delivering solid results of doing what they do best, servicing our customer base and completing the close and launching the integration of RSG into Beacon. We closed on the RSG deal on October 1st as per our planned schedule, while making solid progress on the integration to-date. All-in-all a great quarter and a very strong finish to the year. Now a little more color on the quarter. As we’ve mentioned on our last earnings call, the fourth quarter started with a strong July up 8% in sales, a continuation of the strength we saw especially towards the end of June. The acquisitions we completed at the beginning in the year, all weather products in Western Canada, Applicators Sales & Service of Maine, Wholesale Roofing at Texas and ProCoat systems of Colorado. Combined with Greenfield branch growth and existing branch sales were drivers of the 8.4% total growth, a very good mix of growth drivers. Of our second reported regions in our West and Southeast regions we continue to see strong sales growth. In addition we saw solid recovery in our Southwest region as it rebounded from a very rainy Q3. All three of our reported product lines grew over the prior year with residential up over 11% and complementary up almost 18%, commercial was up slightly at 1%, existing same day sales were up for all three product lines as well residential existing sales were up over 7% in the quarter. And this is very encouraging considering market conditions. Our complementary sales growth in the quarter was driven in large part our Applicators acquisition in Maine, but we also experienced growth within our existing business as well. Five of our seven reported regions had strong complementary growth with two registering double-digit gains. From a trending perspective this product line has seen positive existing sales growth in eight of the last 10 quarters. Our commercial product line registered 1% growth as I said. We experienced growth in our Northeast region and registered double-digit gains in our Mid-Atlantic, Southeast and West regions. The gains were offset mainly from our Midwest region, which had lower demand and some project delays. It is worth noting that commercial sales have grown in seven of the nine prior quarters in existing business. Along with the solid sales growth gross margins increased over the prior year and sequentially from Q3, this is the sixth consecutive quarter in which the gross margin percent increased and the highest in 11 quarters. We have made solid progress on gross margins and we’ll continue our focused efforts. From an operating expense standpoint, we experienced excellent leverage as we grew sales. On excluding one-time costs related to our RSG acquisition and the four other acquisitions made this year, our operating expense as a percent of revenue declined from 16.5% to 15.7% for the quarter and our balance sheet remains very strong, inventory per branch decreased sequentially from Q3 and was slightly above last year. We also generated significant cash flow from operations of $109 million, which was nearly doubled to prior year. This enabled us to pay down our entire U.S. revolver at the end of September. Looking ahead at the current quarter, we expect to generate strong cash flows and make progress on our commitment to de-lever. Our debt leverage ratio at September 30th was 1.41. And now just some brief comments on the full year results, we delivered a record $2.5 billion in sales for the year, that’s an 8.1% increase over the prior year. Almost half of this growth came from acquisitions and the remaining half from existing growth. We also recorded full year adjusted EPS of $1.38, adjusting for one-time cost related to the RSG acquisition. This was approximately 28% growth over the prior year. And for the prior year we grew our gross margin percent to 23.7 picking up 100 basis points versus 2014, a very good finish for the year. Now I’d like to provide an update on the RSG integration. The integration process has been very robust since the October 1st close. We are leveraging focused teams of employees from both organizations to maximize customer service and sales growth, while delivering on planned synergies. We have set up a comprehensive improvement framework that we are following rigorously to ensure all deliverables are being met. I am personally very active in the process along with our senior executives. Elements such as customer communication and salesforce coverage, team alignment, employee benefits alignment and communications, IT systems migration, vendor communication and alignment and overall synergy attainment are some of the key elements we are focused on. We’ve previously stated that we expect to achieve $50 million in cost savings in total, $30 million in savings in year one and $20 million in year two. As we work all the integration elements I remain confident we are on-track to achieve these synergies. As mentioned on prior calls, we expect to gain savings from three major categories branch consolidations, SG&A, savings and procurement savings. The breakdown is roughly one-third for each category. And now on for the outlook for 2016, we’re off to a good start in October with the core Beacon locations delivering 10% growth, an 8.6% organic same days growth, with RSG added in the combined company at 57% same days growth for the month. November with three days remaining for the combined company is trending very well and is ahead of last year. This is encouraging. Looking at the combined company, we see revenues in the range of $3.8 billion to $4 billion for 2016 and in terms of gross margin we expect to be in the range of 23% to 24% for the full year. In the past we’ve been using a range of 22.5 to 24, this tightening of the range is the confidence we have in the improvement actions we have implemented over the last couple of years. In terms of additional acquisitions, we have structured our financing in a way that allows us to effectively meet our working capital needs and continue with our acquisition strategy. I want to highlight the fact the combination of our asset base revolver, term loan and high yield note give us a weighted average cost of capital of 4%, it provides us the flexibility to continue making acquisitions, while maintaining ample liquidity as working capital needs increase. We have the capital structure and operating strength to continue growth through acquisitions and we will continue to work on executing these as we have in the past. Our pipeline remains full and we expect to close on several acquisitions this fiscal year. Related to EPS, the current is $1.60 to $2, this is a wide range for sure, but we’re comfortable saying we’re in the range of a $1.80. This does not include one-time cost and purchase accounting adjustments. That being said of course, the unknown variables we face such as pricing, demand and strong repair can impact the year positive or negative. We will update our view of the EPS on the Q1 earnings call, as we see how the year is progressing. And as always we are working diligently to maximize earnings for the year, by executing the fundamentals of our business plan, focusing on superior customer service, sales growth, cost control and making sure the integration is successful. And now I am going to turn the call over to Joe and he can go over a little more detail on the financial highlights of the quarter. Joe.
Joe Nowicki: Thanks, Paul and good morning everyone. Now I’ll highlight a little more detail on our few key financial results and metrics that are contained in our earnings press release and the fourth quarter slides that were posted to our Web site this morning. Overall it was a great quarter, the solid top-line growth of 8.4% for record fourth quarter sales of 787.7 million. Gross margin increased both over the prior year and the prior quarter, while operating expenses were up, it was primarily a result of the three acquisitions we made this year and the non-recurring costs related to the RSG acquisition we just completed. Excluding these costs our existing market operating expenses as a percentage of sales declined 80 basis points, demonstrating great leverage. As a result for the quarter, we achieved the record adjusted EPS of $0.75, an improvement of $0.27 or 56% over the prior year. For comparison purposes there were the same number of days in Q4 of fiscal 2014 as in Q4 of fiscal 2015, 64 days. Paul already went through our Q4 sales results in detail, so I’ll not repeat any of that information here, but I’ll go through our monthly sales strategy. As compared to the prior year, our average sales per day at an existing branch phases were higher in each of the three months of the quarter. July sales were up 3.8%, August sales were up 3.4% and we finished the quarter strong in September with sales up over the prior year by 5%, driven primarily by a 6.8% increase in residential sales. On a very positive note, the gross margin rate was 24.3% for the quarter, which is up 180 basis points from a year ago and up 70 basis points from the third quarter. In summery pricing declined slightly in the quarter from the prior year this was offset for the most part by a product cost of declines. The majority of the increase to gross margin can be attributed to mix shift to more residential and complementary product sales. The 46 Greenfields opened up since fiscal year '12, as well as the strategic acquisitions made in the last 12 months have significantly increased the mix of residential and complementary products. And these lines of businesses have consistently delivered higher margins. Also benefiting our gross margin rate was a decreased in the mix of direct sales in the quarter. About 15.9% in the prior year to 15.3% in the current year, as we have previously discussed our direct sales have lower gross margins in operating expenses as compared to the warehouse sales. Commercial prices declined approximately 2% compared to the prior year and residential prices declined a little lower 2% from the prior year. This is partially offset by complementary prices that were up approximately 1.5 points. While we are expecting pricing to slightly improve in the quarter sequentially the overall price decline was flat compared to Q3. As just mentioned, the product mix had an impact on gross margin as volumes shifted from commercial roofing to residential and complementary products. Residential roofing increased to 49.8% of our sales versus 48.5% in the prior year, while commercial declined to 34.8% from 37.3% in the prior year and complementary increased to 15.4% from 14.2% in the prior year. Diversification of our product line is something we’ve focused on across our existing branches and through our acquisitions. Now on to operating expenses, total operating expenses were 132.4 million or 16.8% of sales. This represents a year-over-year increase of 12.3 million. This amount includes operating expenses from acquisitions of 6.4 million, and one-time cost related to the RSG acquisition of 7.3 million. Excluding acquisitions and one-time costs related to RSG, our existing market operating expenses were down 1.4 million over the prior year Q4 and down 80 basis points as a percentage of sales. We are seeing good leverage as we grow. As previously discussed, within our existing markets we do include the Greenfields. 2.7 million of the existing market operating expense increase can be attributed to the 24 Greenfields opened up in the last 18 months. As you know a Greenfield branch will have higher operating cost as a percentage of sales and the branch is running at our average branch volumes. So as you can see our existing operating expenses when factoring out Greenfields are down over 4 million in the quarter. Great leverage and this has been a key focus area for us. There was an increase in employee related payroll and benefits cost of 1.9 million, but that was more than offset with decreases in SG&A across the board. We continue to look for ways to leverage our cost structure. Cost control is a historic strength of Beacon. With the acquisition of RSG, we expect to see a significant improvement in our operating cost leverage. Interest expense and other financing costs were up 700,000 versus the prior year. Our income tax benefit reflected a much higher effective tax rate of 45.1% for the year compared to 40.7 last year. This was driven primarily by the treatment of a one-time RSG acquisition cost which are mostly non-tax deductible. Adjusting for these our effective tax rate would be approximately 39% which is consistent with the prior year. Our net adjusted earnings were 37.8 million for the quarter compared to 24.2 million last year, an increase of 56%. Diluted adjusted net earnings per share was $0.75 compared to $0.48 for the same period last year and our adjusted EBITDA for the quarter was 77.7 million compared to 53.3 million in the prior year, an increase of 46%. Regarding the status of our balance sheet, cash flow from operations for 2015 was a positive 109.3 million compared to 55.5 million last year, that’s an year-over-year increase of 97% from combined higher net income with significant improvements in working capital requirements. Inventory was slightly up 19.4 million from Q4 of last year. We’ve exhibited solid inventory control this year. Sequentially inventory is down versus Q3 and the inventory balance is impressive when you consider the 27 Greenfields we opened over the last 15 months and the four acquisitions since Q4 of last year. If you look it at a per branch basis, inventory was up only 2.5% from the same quarter last year, but down 17% from Q3. Capital expenditures including acquisitions in Q4 were 20.8 million compared to 37.2 million in Q4 of 2014. As you may recall, last year we made significant investments in new Greenfields for replacements to our existing fleet. For fiscal year 2016, we expect capital expenditures to be approximately 1% of sales. Net cash used for investments was 104.7 million. Our current ratio was a strong 2.18:2 versus 2.37:1 at the end of last year. The results of our two bank financial covenants at the end of the quarter were as follows, leverage ratio decreased to 1.4:1 compared to 1.88 last year, and interest coverage ratio increased to 17.05:1 compared to 14.79:1 last year. Strong cash flow from operations allowed us to pay down our total U.S. revolver at the end of September. Now to briefly discuss the full year results, sales were up 8.1% over the prior year and a full year record of 2.51 billion. Of the increase the acquisitions contributed approximately 3.7% of the growth. Existing markets were up 4.5%. Greenfields contributed approximately 3.7 within our existing market sales. Although as we have mentioned previously, it’s difficult to measure this precisely as we do seek volume from our existing stores to new stores. Turning to Slide 3 of the earnings slide, I’ll highlight how we did across the regions five of our seven regions grew within the year with the West having a double-digit gain and the Northeast and Midwest with higher single-digit gains. This was fueled primarily by strong volume and new branch openings. The Southwest and Canada were down as the Southwest continued to deal with post-storm demand and increased pricing pressure, although we saw a rebound in Q4. Canada was down slightly year-over-year due all to a foreign exchange impact of our Canadian dollars our business there was actually up 5.3%. Gross margin rate for the year was 23.7% up 100% basis points from the year ago. As mentioned, our product mix had an impact on gross margin as volumes shifted from commercial roofing to residential and complementary products. Residential roofing increased to 49.2% of our sales versus 47.7 in the prior year, while commercial declined to 35.1% versus 37.6% in the prior year, complementary increased 15.7% from 14.7 in the prior year. Operating expenses for the year were 19% of sales versus 18.4 in the prior year. Similar to current quarter the major drivers are our investments and acquisitions Greenfield and the non-recurring costs related to the RSG acquisition. Our net adjusted earnings were 69.3 million in 2015 compared to 53.8 million last year, an increase of 29%. Diluted adjusted net income per share was $1.38 compared to $1.08 for the same period last year. 2015 adjusted EBITDA 168.6 million compared to 136.8 million in the prior year an increase of 23%. We finished the year very strong especially in light of the closing of the RSG acquisition at the same time, so tremendous effort from the entire team. As we look to 2016, the RSG acquisition will help drive even further EPS improvement. I want to reiterate what we mentioned in our 8-K back in July, we believe the acquisition result in approximately $0.30 increase in adjusted non-GAAP diluted earnings per share. This adjusted amount exclude cost to achieve the synergies, amortization of deferred financing fees, M&A fees, legal fees, stock-based comp expense and related one-time costs and purchase accounting adjustments. As Paul mentioned, we have made progress on the integration and in taking actions necessary to achieve the synergies. We’re still very confident in the accretion amounts we stated in July. We have not yet completed the work with our valuation consultants and now the estimated impact of purchase price adjustments, including the incremental amortization expense as that becomes finalized we’ll communicate it accordingly. We’ll now respond to and take any questions that you may have.
Operator: [Operator Instructions] Each caller is limited to one question and one follow-up question. We’ll take our first question from Trey Grooms at Stephens Incorporated.
Trey Grooms: You guys gave some detail looking into next year. And I believe the earnings raise that you gave that includes the $0.30 of accretion. Is that the right number for the RSG is $0.30 in that 1.60 to 2.00?
Paul Isabella: Yes, we announced we put out a filing and we’ve publicly said there would be $0.30 of accretion so it's in that ranging I gave yes [Multiple Speakers] what is in there is obviously the one-times and purchase accounting.
Trey Grooms: That is what I expected just making sure that was the accurate number there. And then I guess the follow-up there, Paul what would you say are the biggest variables? I mean that is a pretty sizable range there. The biggest variables that you see on that 2016 guide for the combined Company that could swing you one way or the other, do you think there is -- would it be more synergy-related, would it be more leverage-related, just give us some color there?
Paul Isabella: Yes, I would not -- for sure, I would not say it would be synergy related. I think as it has been for the last couple of years, I think it's going to be depended on where the square comp goes in terms of consumption in the marketplace and if it continues to be flat it will make it more challenging for us to work harder to go get share as we would do anyways. I think that’s the biggest variable because -- and in fact that demand on the residential side then impacts pricing and competitive behavior et cetera, et cetera, so the forecast and the industry information we get forecast 4% to 5% growth in 2016 on that square comp that happens -- that will take a lot of the sting out of some of the pricing pressure we see and demand pressure we see by region. I think that’s the -- for me it's the biggest peace, and that is for sure not the synergies. We have -- those are very well defined and we’re working extremely hard to retain those.
Operator: We’ll take the next question from Dave Manthey of Robert W. Baird.
Dave Manthey: First off, Paul, you kind of mentioned asphalt prices here. With asphalt prices down about 30% year over year, what kind of indications are you getting from the shingle producers regarding next year? They did a good job of limiting pre-buy programs in the current year. What kind of discussions are you having with them and what is their posture going into 2016?
Paul Isabella: Yes Dave, it's much as it had been even a year ago, you remember all that has had discussions about that the potential impact as oil dropped and then asphalt dropped and they have done a -- quite frankly, they have done a very good job of doing what they said they would do and that was to limit the winter buy. And I think as you can see at least from the public releases take as much as that input cost reduction into their P&L and I would think my own view and then the information that I gather from them is that they’d like to continue that. So although asphalt is for sure is lower than it has six months ago or a year ago as I said at the beginning of the year without being able to see the future, I am just not as concerned about it, I wasn’t then, I am not as concerned about it now and of course demand has certainly helped this -- any situation related to that.
Dave Manthey: Yes, that is encouraging. And as it relates to that demand, by our estimates if you look at residential reroofing square growth for the last two quarters, it seems that it’s been growing about the mid single-digit range and based on your guidance Paul it seems like you're guiding through the core Beacon business about $1.50 of earnings which is not maybe mid-teens year-over-year and with the current year number maybe a little bit lower than that. But can you give a sense that we’re returning to the environment of moderate non-storm related growth in reroofing demand, it just feels like you’ve been seeing much more consistent rates lately, can you comment on that?
Paul Isabella: Yes David that’s a more difficult one to predict, you can look at as you’ve seen when we’ve said or you can look publicly at the data over the last 20 years on total consumption on shingles and then the storm, reroofing and storm, new construction piece of that. So I mean when you look at our business and look at the market we’re in, I am still extremely positive on what the future holds because I know and/or my view is and my opinion is there is a tremendous amount of pent up. I think folks have deferred a bit and I think it is a function of income ability to take equity and all the things we talk about whether it's the existing home sales. So being prudent right that’s what we try to be being prudent and that’s why we came up with the $1.80 and hence you can do the subtraction on the $0.30. But the variables within that are the things we listed, storm demand, of course pricing and then just the overall market growth. We’re planning so that we look at the past two years with some realism, but my view is at some point there is going to be some form of a break out and there is going to be much more demand than we are seeing now. But the ultimate question is when, which I just can't predict.
Operator: We will go next to Matt McCall of BB&T Capital Markets.
Matt McCall: So, maybe I missed it or maybe you didn't give it, but can you talk about some of the assumptions behind the revenue guidance volume, price, some of the different assumptions across the different segments?
Paul Isabella: Yes we can -- in the terms of 2016 I assume you mean?
Matt McCall: Yes sir.
Paul Isabella: Yes, and we think we can share some of that I mean obviously we closed six-seven weeks ago so we still in the throngs of building the ultimate defined plan, but for sure we did not put any price positive or negative in that assumption. When we looked at our modest single-digit gains for Beacon and then the same for RSG basically to get to that ranging of 3.8 to 4 and within that as I just talked -- mentioned to Dave there is going to be variability just based on how the market for all three of our product line progresses although we are very positive and mindful that we are going to make good progress on the growth side, whether it be through acquisition growth or filling out our Greenfields or share gain.
Joe Nowicki: Mix of business I would kind of add from a mix perspective Matt, when we look at the Beacon side of it just a pretty consistent mix than what we saw this year as well too, and as we talked about we saw a little bit more residential, a little more complementary product, so we think that same mix will carry forward into 2016, RSG we have described and talked about their mix kind of before as well too and anticipate about that same 65, 35 split as they currently are between residential and commercial. So add those two together and I think it's erupted from the mix is the other part I would kind of tell you about our revenue forecast.
Matt McCall: And then I guess the existing SG&A, the existing markets SG&A, the dollars -- you talked about leverage. I mean the dollars actually went lower. Can you describe how that happened with six more branches?
Paul Isabella: A good portion of our kind of quarterly decrease was a lot cost control. When we talk about in the slide you see that item called warehouse SG&A cost down 1.9 million a lot of that is cost control, since we have -- we talked about it through the year a lot of initiatives around everything from little stuff like utilities, supplies, telephones, travels we provide our effort into the cost control and that was a big driver number one. Second element you see on the slide that we issued selling expense decline year-over-year 2.3 million. A good portion of that was the fuel cost you know that diesel costs are down well over 1 million bucks of that total was from the diesel cost that incurred in there. So those were probably the two biggest items that I would kind of highlight for you Matt that drove the year-over-year kind of decline in the operating expenses.
Matt McCall: And then I'll just follow that up with the expectation for ’16?
Paul Isabella: Well I guess probably your prediction on fuel prices and diesels is best as ours, but we have included in our kind of financial forecast is that stays pretty constant with where it is at today. We are going to keep the work kind of going as we have on the cost control part. So I think you will see us continuing to make improvement there. It’s not any one thing Matt it’s just a focus across the company that we are really diving into, drilling into, focused teams, going after cost implications, and cost reductions. And then on top of it what will help us well too is you will see our overall kind of operating expense percent come down as we get kind of leverage from the RSG transaction as well too. We have always talked about our long-term OpEx goals of 17% to 19% this year was that 18.7% well we will drift further lower as you go to ’16 so you will see us continue to come down trying to continue to drop to the lower end of that range of operating expense so we will get there next year, but we will make progress down from the 18.7 for sure.
Operator: The next question will come from Brent Rakers at Thompson Research Group.
Brent Rakers: Two questions, I think first, I was hoping you could maybe give us some sense of RSG's performance on a standalone basis in the September quarter, both in terms of revenue growth and possibly EBITDA, if you'd give us the final take away going in? And then second, I was hoping you could talk about -- a little bit about the acquired piece of revenue and margin contribution for the September quarter. By my calculations it looks like something north of 15% EBITDA margins for the acquired segment. So, maybe if you can walk me through that as well?
Joe Nowicki: Yes sure I will take the first part of it in regards to the RSG piece and then I will kind of hand over to Paul, I will talk about acquisition there as well too. RSG unfortunately I can’t give you the September numbers for them we released and talked about through June 30th the September numbers as you know we just acquired as of October 1st. We are in the process of kind of redoing the 8-K as required as we file some of the final filings on the S-4 that will occur early next year and then we will have the September numbers and we will have all that kind of discussed for RSG so unfortunately I can’t give you too much feedback on that right now. The second question in regards to acquisition yes we did have a good full year and quarter on our acquisitions as well too in fact as we went through with those numbers. We’ve talked about our goal as you know was to try to get the acquisitions all accretive in the first year right well we’ve had a lot of success this year with that in the acquisitions that we made, and then Paul if you want to go into more detail on the revenue from the acquisitions?
Paul Isabella: Yes I couldn’t give you sort of the reconciliation to EBITDA Brent but from a sales standpoint did about -- for the full year about yes 86 million and in the quarter about 32 or so there is no doubt as you look at the four of them three actually made money which is considering the newness and I won’t get into the detail who did but one had operating income which matches close to EBITDA of 7% the other was a couple of percent but then the two others were basically flat. So we’ve had very good performance and very strong gross margin from those trending close to 30% which is really good news and that’s also where we get a lot of the complementary strength as I have talked about ProCoat and Applicators.
Joseph Nowicki: The one thing I will add when you look at the K which of course details out the acquired kind of revenue and profitability. Keep in mind that 7.3 million of non-recurring onetime RSG costs are in that so if you look at that first you will say the acquired group doesn’t look very healthy well take out that onetime non-recurring charge of 7.3 and you will see that what Paul was saying we actually had good profit -- we had profitability from them which is great the first year.
Brent Rakers: Maybe just one I guess quasi follow-up question. You talked about a $30 million synergy number for this year. Have you articulated how we should model that on a quarter-to-quarter basis throughout the year? Does it ramp slowly over the year or do we get a lot of that fairly right out of the gate here?
Joe Nowicki: Yes it’s a good question I’ll give you a little bit more detail on it. So, as you think about it in the quarter it will ramp very slowly in the first quarter you will see a little impact in the first quarter but not too much. First quarter as Paul kind talked to was more about getting all the planning in place and actually taking the actions to begin the implementation for most of the pieces of it. You will start to see it in second quarter, ramp-up in third and at fourth quarter we’ll really be chasing pretty much of that $50 million a year number so by the fourth quarter we’ll be chasing at that rate and that is how you will see it progress through the year. Not much in first very little it will start to ramp-up you will see some good benefit in second ramp it up in third and then by the fourth quarter we’ll pacing at $50 million rate.
Operator: We’ll go next to Jason Marcus at JPMorgan.
Jason Marcus: First question is on some of the revenue synergies that you might expect to get over the next few years. I think historically you have been running, at least over the last few years, at about 15% of overall sales for your complementary products business. And I know you haven't quantified what your expectation is there going forward across RSG's network. But is there any reason to think that you wouldn't be able to achieve a similar level of sales across their network I guess as you kind of go out over the next few years? And then also in terms of the guidance that you gave, does that include any revenue synergies?
Paul Isabella: There is no very little revenue synergies in the guidance. On the complementary side I think when you think about 15% on that sales base that’s a very big number. So the reality of that it would take more than a year or two. We’re in the process now of identifying all the plans related to complementary growth within that RSG as well as Beacon footprint because we certainly are not slush in terms of having complementary at all of our branches. So we’re working through that and that’s a big opportunity. But there is also other elements within whether it’s by channel or type I won’t get into too much detail given the nature and the form of this call. But we’re going to be looking at every element and avenue of channel and sales type to go after and drive as a synergy. That’s really -- the actual dollar of synergy on the cost side is critical for us through the end of ’20 and as I said I am confident we’re going to hit that I think the more important element for us of course is to continue to work our customer base, satisfy their demand, make sure we have a seamless transition and then really will continue to go after all these other elements across the country, whether it’s local contractors or national contractors to increase sales. So it’s a big opportunity for us I know I gave you a long answer but the 15% it will get mixed down just because RSG is very little if any complementary but as you go through time their sales team is going to be armed with a line card to sell complementary products out of our warehouses let alone as we put product into their warehouses.
Jason Marcus: And then next question, just kind of going back to the regional trends, I know last quarter you talked about pricing in the Southwest being pressured as well as volume and it looks like organic sales improved this quarter. I just wanted to get a sense of if pricing reversed as well in the quarter and what you are seeing there?
Paul Isabella: Yes it’s an interesting dynamic. Our team down in the south in general has been doing a very-very good job of delivering but the pricing still remains a challenge into a function of demand, so we’ve taken a position now, we have to protect our base and then we also have to attract new customers and then they have been balancing that, the growth that we’ve seen and the delivery of their line which I won’t get into versus sometimes pricing, which mostly comes on the residential side. I think as that area improves whether it be existing home sales or some things I have mentioned earlier, on new construction et cetera that will abate because it has been going on for a couple of years now. But it's not much has changed when you look at the geography and the price pressure we see across the country, it's very similar.
Operator: We’ll go next to Garik Shmois at Longbow Research.
Garik Shmois: Congratulations on the quarter. I had a question on -- I might have missed it -- on Greenfield plans for 2016. You have a lot of flexibility to pursue additional M&A, but just wondering if you have outlined how you are thinking about the cadence in new branch openings?
Paul Isabella: Yes, no you didn’t missed it, I didn’t mention it, we have a lot of things going on and we still feel extremely positive about the Greenfield approach we’ve done between ourselves and RSG we have 70 plus Greenfields that we’ve opened up in the last three years. So we have -- those are going to fill out over these next two, three, four years. As you look at the integration activity we have with RSG and you look at the integration of the other acquisitions that we did and will do as I said in my comments that I am confident we’re going to be able to do deals before the end of the fiscal year. Those things would say to me, we need to be a bit more cautious on opening those right now. Now that being said, as we progress through the year as we did two years ago we opened up a bulk of those 26 Greenfields late in the year. We had actually a Q3 and a Q4 March and in 2014 at nine and nine openings each. So for now for me to peg a number that doesn’t exists, it wouldn’t be appropriate and I thought about it for the caller to give a range it just wouldn’t be appropriate. We have 80 plus new branches that we’re integrating you could call those Greenfields and the other 70, plus the four acquisitions, plus new acquisitions. But there are still locations in the country that we’re extremely interested in, we’ve done the research on and we’re looking very hard at and we did the six last year we could very well end up at five to 10 at the end of the year. But right now, I’d say, hey, let's focus on what we have in hand, make sure we do that really well and then we’ll talk through the winner about what the spring is going to look like because we can mobilize fairly quickly with opening a new branch.
Garik Shmois: It's not like you don't have your hands full with all these other initiatives.
Paul Isabella: But we still love the strategy of the Greenfields replacement, when you think about the small investment we’ve done with the 70 what RSG did it's wonderful because we’re going to get that sales growth and then also lots of career development and growth within the Company for our folks so it’s been a good strategy and we’re not going to forget it adding EPS.
Garik Shmois: Just wanted to switch over to commercial trends, it appeared to sort of remain sluggish. You are also hearing some choppiness just from a very high level on commercial construction activity throughout the U.S. I was just wondering if you could speak to what you are seeing specifically in commercial. And I think several quarters ago we thought that the sluggishness on the commercial side was timing related and maybe even mix related. Has any of that changed or are you seeing any maybe change in the sales cadence on the commercial side?
Paul Isabella: It's a good question, it's a broad question, and I think we love the commercial business, RSG has loved the commercial business, so combined we’re going to have quite a large commercial business which is extremely exciting because we’re in many-many markets together and it's going to be fantastic as we grow. I think inside the quarter as I mentioned in the prepared remarks we saw growth in some of our regions which is encouraging. But the Upper Midwest did struggle and I am not going to talk about rain days or anything else, there is no doubt, were some delays. I think pricing pressure probably allowed us to pause and if you look at some of Carlyle's comments they went through a similar dynamic. So I am not concerned, now the outlook for commercial is still relatively healthy. And even if it weren’t I would still say we have such a big strong base and such a great team leading that and great partners in terms of the manufacturing base that we’re still in the expectations we’re going to grow. We’re going to have some quarters that 1%, then some quarters that are maybe zero and some that are five or some that are eight. And you can go back in history and look at our commercial growth and it's been fairly healthy. And that’s the beauty of having strong residential business, a strong commercial business and a growing complementary strong business that mix helps us as you go through time and it helps the individual branches that are mixed that way.
Operator: We will go to our next question from Ken Zener at KeyBanc.
Ken Zener: I should have known there was a good omen when I had an RSG truck on my street last night.
Paul Isabella: I hope you bought some shingles Ken?
Ken Zener: No, I didn't. The -- barring RSG obviously, given where you were 18 months ago and doing smaller roles, obviously you transformed it along with the ABC. Just as let's say two years ago you wouldn't have envisioned a market structure where the manufacturers and distributors were avoiding pre-buy given the -- at that time assumed upside associated with gross margin which seems people are now tempered on that view. What do you think could really kind of -- as you guys are just integrating this right now, I mean what do you think might be something that looks as different two years from now as opposed to the dramatic change in the buying pattern of the distributors relative the residential shingles? Could there be just -- what, a lot more commercial? Could -- what might change that you haven't obviously communicated in any type of formal manner? Or is distribution just going to be distribution?
Paul Isabella: yes, well it's the one that is always well it is impossible to predict the future, but you can think about trends I think will be continued consolidation will be down as well as I am sure others, but we definitely believe that there is strength and a benefit from the contractor base through consolidation, I think the -- hard to predict what the vendor base will do I think they have been behaving very smart fashioned and there is no doubt they are well on company. So I think logically I think it can as volume increases which it will it's bound to and I talked earlier about the pent up on the residential side especially, I think that growth will be healthy, it will help the manufactures and whether or not they return to the pre-buy I think it's just a function of the volume if volume gets back up to 130 million and 140 million squares, you could see some of that out of necessity just to make sure we get enough. Our shingle is out in the market or if there is tremendous amount of storm damage or a hurricane even which I am not hoping for, that could also change. But I think the cadence is more consolidation, continued improvement and the operations of the distributors and I think as demand returns as it will, there will be some cooling of the pricing challenges we have seen for the last couple of years. That’s the best I can -- best way I can…
Ken Zener: No that is fair.
Paul Isabella: Yes I mean it just seems that things could change more than sometimes people assume.
Ken Zener: This is going to be a kind of a silly question, but on the existing sales for res, which were quite strong on the headline, it’s stronger when you include the price deflation. Because Owen Corning at their Analyst Day last week talk about 107 million squares worth of shipments. They actually took down their long-term forecast, I am pretty sure you are aware of that I guess. But that growth you are getting, I mean I know you are including some of these branches, but can you just kind of go over -- I mean it looks to me like you're growing 7% to 8% organically under your existing base, there is 2 points of deflation in there. How are you outpacing the market? Could you just kind of pretend that I'm asking the question for the first time and explain how you are so far ahead of a flat market?
Joe Nowicki: Yes, there is no doubt that the Greenfields are adding, they are adding and leading the growth there again Joe mentioned earlier she thought did makes it at times to get a absolutes solid handle on that, but as you look at that existing piece -- I’d have to as best I can just split it in half between existing branch growth and then the greenfield growth. I just think we are making good progress that is being very attractive at selling the value of Beacon and attaching ourselves to very-very good customers who want to do business with us. And so if you look at a Greenfield inherently put a building out somewhere and it's got no sales maybe bring some seeded sales 0.5 million or 1 million or more. And then to grow from there so inherently your demand or pulling it from somewhere else, I think we -- the Greenfields have fueled a lot and then I just think our selling efforts. In general, as done the rest in our overall offering and consistency in that offering.
Paul Isabella: It's interesting, Ken it isn’t any one thing the Greenfields have certainly helped but it's has been all the others that we continue to talk about that drive our service model that we just keep doing and repeat it and keep doing, and that combined with the Greenfields, combined with our focus on selling efforts, I think it's probably what we are seeing is, some gains or improvements in market share and we feel as well.
Operator: We will next to Keith Hughes of SunTrust.
Rohit Seth: Hey, this is Rohit Seth in for Keith. Just back on the M&A, are you guys seeing anything of size out there or can you just comment on kind of the pipeline, what you are seeing?
Paul Isabella: Yes, I guess even if we were seeing anything of size or non-size I really couldn’t comment on it. There are -- as there has been this is I believe for fertile it’s a fertile environment for acquisitions at least as it pertains to Beacon I can’t talk about any of the other distributors in the space. We’ve maintained very close contacts with a number of companies small one branch, five branch, 20 branch, 40 branch, 50 branch companies and as I said it wasn’t a byline it’s really up to them when they’re going to sell based on a whole bunch of conditions as you can imagine. And so there is plenty of opportunity it is the questions just took the timing of that opportunity. I talked about my confidence in being able to do a few deals within this fiscal year and that’s a relatively high degree of confidence there so that’s good news. And then we just -- we’re going to continue what we’ve been doing for 10 plus years and that’s cultivating very good companies and working with them to consummate the deal.
Joe Nowicki: I think as you’ve seen from our history primarily when we talk about acquisitions most of our acquisitions are more top candid nature where they can be $25 million, $50 million, $75 million in revenues top sized. So the RSG was a great kind of transaction for us and great opportunity but most of what we’ve seen historically I'd classify as more tuck in type acquisitions.
Paul Isabella: And that’s what you will see as we move through these next couple of years, RSG is a lot of heft for us which his great because there is great density, great sales increase, great people. And then we’ll focus on where we need fill in is in different geographies wherever we have open territory it might be in existing that makes sense to us that density we’re going to do that.
Rohit Seth: And then are any of your pro forma numbers in your guidance growth related to the M&A?
Paul Isabella: Hi there can you repeat that one time are there any pro forma numbers in our guidance?
Rohit Seth: Yes, like are you estimating anything in you guidance for the M&A, does it include anything?
Joe Nowicki: Sure when Paul referred to the Street guide that is out there the $1.80 what that includes is just the RSG transaction so that includes the $0.30 accretive from RSG and of course the transactions that we did last year right so the ProCoat, WRS, Applicators those are all in there. But there is no additional acquisitions besides those baked in there.
Rohit Seth: And if I can ask one last question, you guys have a great view on maybe product trends. Would you be able to comment -- I know you guys are probably agnostic on some product level trends you are seeing, any changes as you look back on 2015 relative to 2014? Maybe talk about big-ticket, small ticket or what you are seeing in siding versus windows and doors, things like that?
Joe Nowicki: I think that’d be very difficult for us to comment on. We have a fairly consistent product line and as I said earlier a number of great manufacturers that we pull through product and them up to the contractor base and others. So no there -- and I wouldn’t say there is any changes in franchises at all.
Paul Isabella: We can do one more call, or one more in fact question rather.
Operator: We’ll take now one more question from Sam Darkatsh at Raymond James.
Paul Puryear: This is Paul on for Sam, thank you for taking my question. Just looking back to fourth quarter and your gross margins by product line could you guys provide any commentary surrounding that, maybe the spread between the different product lines and if you expect any changes with our RSG, coming into the full between those gross margins?
Joseph Nowicki: Sure I can give you -- really what we’ve talked about generally around most -- about gross margins by product line in total is pretty much consistent. We see anywhere from 1,000 to 1,100 basis point difference between our residential margins and our commercial gross margins and our complementary margins tend to be right in the middle about where our average gross margins are. That relationship has stayed pretty constant in there we haven’t seen that shift around too much. So it’s been pretty much the same.
Paul Puryear: And then just apologies if I missed it, but any updates on where you’re expecting to see some branch consolidation or closures in terms of how many you would expect to consolidate or close and also where that would potentially be?
Paul Isabella: Yes we haven’t shared any geographies we have talked about it being in the 20 to 25 branch range that we’ll be consolidating and there I think as I said earlier on the -- when we announced the acquisition that they are going to be logical consolidations and we have two branch is a half mile away and then there is a smaller than the other or whatever the differences might be by product line it makes sense to do that consolidation. But we haven’t given out detail of where nor will we but it is in the 20 to 25 range.
Joseph Nowicki: The other part which we talked about too is that it is a combination probably almost equal split between RSG consolidations and consolidations from the Beacon side as well too so again we’re looking across the whole portfolio of company assets right and how we best utilize those for shareholder value.
Paul Isabella: Hey we’re going to do just two more in the queue so let’s do two more questions okay?
Operator: And your next question will come from Jim Barrett at C.L. King & Associates.
Jim Barrett: Joe, I think this is a question for you. Is there a reasonable likelihood -- and Paul, I heard what you said about the deals that are sort of pending. But is there a reasonable likelihood if you get your fair share of the deals in the pipeline you may not start deleveraging in ’16?
Joe Nowicki: That’s a good question Jim, I think from what we’ve seen so far 45 days into it and we’re doing a great job on deleveraging our discipline, so we have been able to pay down a significant amount of that 350, so we have done a really good job, taken a lot of it out already. So certainly we’ll probably have a, it could have a little impact of slowdown some most of these are tuck-in acquisitions that we’ve described it will be bringing EBITDA or cash generation with them. So I don’t think it will have a big impact on it.
Jim Barrett: And then my second question, given sales guidance of 3.9 billion to 4 billion, what would be your expectation for growth in working capital in this upcoming year?
Joe Nowicki: Yes from a working capital perspective, see that one if you think about the elements underneath it, really it will be very similar from the key pieces. So the receivable terms of ours versus RSG’s are very kind of constant in comparable. So as they come on our systematic I think you’ll see them fall in line with our receivable kind of terms as well too. So I don’t think that will change much, I think if you look at the inventory part of it, again I think the inventory requirements are a little higher than ours some bigger branches. But again as I think as they come onto our network and our systems I think we’ll see a lot of similarities in terms of the inventory kind of terms that we have there as well to. The payables are on the same kind of process and timeline as us, so really if you think about it I don’t think as a working capital or percentage of sales, you won’t see much of a change from how we’re currently doing today Jim.
Operator: The next question comes from Ryan Merkel of William Blair.
Ryan Merkel: So, just one question here on the RSG, the $0.30, could you just help us with the dilution estimate from the new shares? And then what gross margin and what EBITDA margin are you roughly assuming in that $0.30?
Joe Nowicki: Yes so I’ll take you through the first part where you mentioned about the share count, so add 9 million shares to it. So we were at roughly 50-ish, 51 million will be at somewhere around 60 million, so I have used that as a share count to get it to your dilution number that you’ll see from the earnings as a result of it. We haven’t disclosed specific numbers in regards to the EBITDA element to it that you asked about or even gross margin for that way as well too. You’ve seen some of the performance and we’ve given you some historic information, but we haven’t done any kind of further than that at this point.
Operator: And that concludes the questions. Now I’d like to turn the call back to Mr. Isabella for his closing remarks.
Paul Isabella: Great. Thank you. Here is just a few highlights from our earnings release; fourth quarter sales were a record 788, approximate 788 million, up 8.4% from the prior period which is great growth attributed to existing branch, Greenfield and acquisition growth as we have talked about on the call. Residential sales grew 11.4% in total, complementary is up nearly 18%, while commercial is up slightly 1%, so a great example of our product diversification as I mentioned on the questions. Gross margin as we went through improved 180 basis points versus the prior year for the quarter ending at 24.3 for the quarter and as we said, we continued our Greenfield push opening up six strategically placed Greenfields of 2015 which is a further execution of that key element one of our key growth drivers. Talked about our balance sheet has been health which it is, which will allow us to deliver on our near and long-term growth goals and we feel very-very good about the capital structure we have. As I have said in the past we’re in a very good market that will continue to grow. We’re well positioned to capitalize on this growth with that branch count and product placement. We are executing the elements of our strategic plan and we will continue to do so. The addition of RSG to our Company will add geographic strength, strong mix of product and a very-very powerful team of people. Our integration efforts and actions are on-track related to RSG, we are very focused on this and are following the detailed planning process to ensure customer satisfaction is always number one and that we will hit the synergies we committed to. RSG as I said is an excellent company and makes the combined company even better. Beacon’s future is very-very bright as we continue to grow and deliver on our commitments. I want to thank all of our investors for their interest in our Company, as well as our customers and our 4,000 plus employees for their loyalty. This concludes our earnings call. Have a great holiday.